Operator: Greetings and welcome to Starwood Property Trust Second Quarter 2020 Earnings Call. At this time, all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I’d now like to turn the conference over to your host, Mr. Zach Tanenbaum, Director of Investor Relations for Starwood Property Trust. Thank you. You may begin.
Zach Tanenbaum: Thank you, operator. Good morning, and welcome to Starwood Property Trust earnings call. This morning, the company released its financial results for the quarter ended June 30, 2020, filed Form 10-Q with the Securities and Exchange Commission and posted its earnings supplement to its website. These documents are available in the Investor Relations section of the company’s website at www.starwoodpropertytrust.com. Before the call begins, I would like to remind everyone that certain statements made in the course of this call are not based on historical information and may constitute forward-looking statements. These statements are based on management’s current expectations and beliefs and are subject to a number of trends and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. I refer you to the company’s filings made with the SEC for a more detailed discussion of the risks and factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. The company undertakes no duty to update any forward-looking statements that may be made during the course of this call. Additionally, certain non-GAAP financial measures will be discussed in this conference call. A presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Reconciliations of these non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP can be accessed through our filings with the SEC at www.sec.gov. Joining me on the call today are Barry Sternlicht, the company’s Chairman and Chief Executive Officer; Jeff DiModica, the company’s President; Rina Paniry, the company’s Chief Financial Officer; and Andrew Sossen, the company’s Chief Operating Officer. With that, I am now going to turn the call over to Rina.
Rina Paniry: Thank you, Zach and good morning, everyone. For the second quarter, we reported core earnings of $126 million or $0.43 per share. As we proactively manage the initial market impacts from COVID-19. We quickly moved our balance sheet into a more defensive position. When we last spoke in early May, we had already de-levered our balance sheet and increased our cash position significantly. Although prudent in the face of unprecedented market volatility, this strategy created over $1 billion of balance sheet inefficiency, which came at a cost earnings in the quarter and continues to have an impact today. GAAP earnings for the quarter was $140 million or $0.49 per share. This led to a $0.03 increase in our GAAP book value per to $15.79 and a $0.09 increase in underappreciated book value per share to $17.03. Our book value per share includes year-to-date decline of $0.32 related to CECL and $0.38 related to mark-to-market adjustments on our assets. These amounts do not reflect a fair value of the assets and our property portfolio, which we continue to believe have appreciated meaningfully since we acquired them. This is demonstrated by our continued refinancings of these assets, which I will touch on later. Despite the macroeconomic headwinds, we faced this quarter, the power of our diverse platform with evidence with each of our business lines contributing to earnings and liquidity. I will begin with our largest segment, Commercial and Residential Lending, which contributed core earnings of $112 million to the quarter. On the commercial lending side, we selectively originated $198 million of loans with a weighted average LTV, a 44%, $156 million of which was funded. We also funded $220 million under preexisting loan commitment. These cash outflows of $376 million were more than offset by $566 million of cash inflows resulting from sales and repayments. During the quarter, we sold three loans at par, two A-notes for $225 million and one whole loan for $172 million. We also received $169 million in loan repayment, which brought our commercial lending portfolio to $9.4 billion. The A-note and whole loan sale, two of which were construction loans contributed to a 26% reduction in our future funding exposure this quarter. Our quarterly interest collections were strong at 98%, 6% of which were deferred or pending deferral as part of COVID-related loan modification. We have modified 11 months to date representing $6 million of deferred interest in the quarter and we are working to modify one additional loan. These modifications were short-term, generally permitted, only the partial deferral of interest, and were often coupled with additional equity commitments from our sponsors. With respect to our CECL reserves, we had no loans, which warranted along specific reserve or change to non-accrual status. The slight increase of $11 million in our general reserve was primarily the result of macroeconomic conditions and our CECL forecast model, as well as changes in estimated repayment timing. The credit quality of our portfolio remains strong with a weighted average LTV of 61%. As a reminder, our business continued to be positively correlated to changes in interest rates with 93% of our commercial portfolio being floating rate. As of quarter end $6.2 billion of our loans benefited from having a weighted average LIBOR floor of 157 basis points. Turning to the residential lending side of this segment. We completed our seventh and largest non-QM securitization to date totaling $584 million. In connection with this transaction, we retained $185 million of RMBS bringing the balance of our RMBS portfolio to $328 million at quarter-end. Although we recognize the $5 million securitization law, we were able to de-risk our balance sheet and improve our liquidity position by selling these loans into an off balance sheet structure with no recourse and no spread mark risk. As we continue to expand this business, we entered into an agreement early in the quarter to acquire up to $558 million of non-QM loans at a discount. Although none had been purchased by quarter-end, we intend to simultaneously acquire and sell approximately $470 million of these loans into our eighth securitization in the coming weeks. Separate from this agreement, we acquired $135 million of non-QM loans during the quarter and $245 million subsequent to quarter-end, all at discounts to par. Our residential loan portfolio ended the quarter with a balance of $700 million, a weighted average coupon of 6.2% and average LTV of 67% and an average FICO of 730. Last quarter, we spoke about the significant spread widening that these loans experienced in late March. Since then, they have mostly recovered with $33 million of last quarter’s $35 million mark-to-market decrease, being reversed through a GAAP mark-to-market increase this quarter. Next, I will discuss our Property segment, which contributed $18 million of core earnings to the quarter. The portfolio continues to perform very well with blended cash-on-cash yields increasing to 15.7% this quarter. Rent collections were strong at 97% and weighted average occupancy remained steady at 97%. Core earnings included a $2 million loss on extinguishment of debt related to the refinancing of 12 assets and Woodstar I, our first affordable housing portfolio in Florida. We obtained debt of $217 million with a 10-year term at a spread of 271 basis points over LIBOR, which we capped at 1%. This allowed us to return a $100 million in proceeds and reduce our basis in this portfolio to just $30 million from $169 million at acquisition. In connection with the refinancing, we obtained appraisal, which valued the assets at a 4.64% cap rate. The fair values in our supplemental reporting package reflected portfolio at a 4.75% cap rate. Our acquisition cap rate was 6.16%. Next, I will discuss our Investing and Servicing segment, which contributed core earnings of $37 million to the quarter. This amount includes $10 million related to the partial sale of our minority stake in Situs, the real estate advisory company that we acquired an interest in during 2016, when we disposed of our European servicer. During the quarter, we received cash of $10 million related to the partial sale, which resulted in a realized GAAP and core gain. We also recognized an unrealized GAAP gain of $18 million to increase our remaining investments to its implied fair value. In our special servicing business, $2.8 billion of loans transferred into special servicing during the quarter, bringing our active servicing portfolio to $8 billion at June 30. These transfers contributed to the $5 million increase in the servicing intangibles that we recognized this quarter. Despite the large volume of transfers into servicing, we did not receive any significant COVID-related fees. Given that current environment, we expect to see longer resolution times for these assets, which will result in delayed fee recognition. In our conduit, we waited for the securitization markets to recover before attempting to securitize our pre-COVID portfolio. Although we had no securitizations during the quarter; last week, we securitized a $151 million of loan for a slight loss of 0.6%. We also collected 100% of interest due in a quarter. And finally, regarding our properties in this segment. In April, we sold an office property in North Carolina for gross proceeds of $24 million resulting in a GAAP gain of $7 million and a core gain of $2 million. Concluding my business to segment discussion is our Infrastructure Lending segment, which contributed core earnings of $5 million to the quarter. The portfolio is relatively flat over last quarter at $1.6 billion with $51 million of funding under preexisting loan commitments, slightly outpacing repayments of $36 million. The lower coupon loans we acquired from GE represents $726 million of this amount is 64% decrease since acquisition. We continue to be pleased with the credit performance of this portfolio, which had no margin calls and 100% interest collections in the quarter. In addition, subsequent to quarter-end, we extended a $500 million financing facility by 12 months to February 2022. I will conclude this morning with a few comments about our liquidity and capitalization. We continue to have ample credit capacity across our business lines. We ended the quarter with an undrawn debt capacity of $9.5 billion and then adjusted debt to underappreciated equity ratio of two times. We also had $2.9 billion of unencumbered assets. As of Friday, we had $821 million of cash and approved undrawn deck capacity. This amount is after payment of our second quarter dividends and after $347 million of de-leveraging across our facilities. The de-leveraging includes voluntary paydown of $173 million on seven of our warehouse lines, where we have obtained margin call moratoriums on certain assets. With that, I’ll turn the call over to Jeff for his comments.
Jeff DiModica: Thanks, Rina and good morning, everyone. I’d like to start by congratulating Rina, Zach and the rest of our team for being awarded the NAREIT Investor Care Award for the seventh straight year. The award is given to only one company in our space each year for excellence in reporting and shareholder communications. And we are proud to have been voted it by our shareholders and analysts for seven straight years. Although some of our company has been working remotely, I’ve been back in the office, along with the senior management team since our last call, and I have to say, it’s been nice to have some part of life feel normal again. Since COVID began, we’ve worked hard to strengthen our balance sheet by both deleveraging our business and significantly reducing our future obligations. Inclusive of our deleveraging, we have been sitting on over $700 million of cash on most days since COVID began, and over $800 million today, as Rina said. This liquidity has given us the ability to go cautiously on offense purchasing or agreeing to purchase approximately $700 million worth of low loan-to-value residential mortgage loans made the high-quality borrowers at a large discount to par near the bottom of the COVID pricing dip. We can securitize those loans today well above par reducing the net permanent required equity on these purchases to less than $50 million. We have also selectively written CRE loans and have an actionable pipeline of accretive large loans we plan to execute on in the second half of 2020. We are investing today, but we’ll maintain a balance of caution and maintain ample liquidity to weather any future tremors if its recovery stalls. With both $500 million of senior secured notes maturing and our federal home loan bank membership set to expire in February, we’re preparing our balance sheet today for both events. With our recent securitizations, we have reduced our FHLB borrowing by two-thirds leaving only $342 million currently drawn and we will have the ability to move any remaining balances to over $1 billion of new bank lines that are expected to close in the coming weeks or to securitization financing over the coming months, leaving us with tremendous capacity to continue to grow our residential lending business. As the senior unsecured notes, they cannot be prepaid until November 1. We plan to hold ample cash to be able to pay them off should the capital markets not be open or efficient, but our plan today with credit spreads improving dramatically is to raise that capital in the fall through either a Term Loan B upside, new senior unsecured notes, or some combination of both. Now, I’d like to discuss our performance and opportunities set by segment. As we expect to deploy capital in each segment this quarter. In our large loan lending book, we are rebuilding our loan pipeline. going forward, we expect to continue financing more than half of our CRE loan portfolio off balance sheet as we did pre-COVID. Our post-COVID playbook also includes prioritizing more stabilized assets with smaller future funding components that are in the more resilient sectors of CRE lending that we think will outperform during and after COVID-19. As Rina said, during the quarter, we both deleveraged our borrowings and continued to sell senior A-note mortgages to obtain efficient off balance sheet financing with no mark-to-market features. For liquidity planning purposes, we conservatively extended management’s expected loan repayment dates, and are now modeling that less than 4% of our loan book repaid in the second half of 2020, as well as significantly less in 2021 than we previously forecasted. Given less loans could pay off in the coming 18 months, we actively reduced our future funding requirements in the quarter to be sure we can easily cover those fundings in cash if no loans are repaid, which is a very draconian assumption that I’m sure we will be wrong on. A-note sales and par loan sales executed in the quarter helps reduce future funding in our CRE portfolio by over $700 million in the quarter. our gross funding obligations are down 35% today versus where they were just last quarter and net of bank financing, our future funding is below a very manageable $1 billion and spread out over the coming three plus years. historically, approximately two thirds of our future funding requirements around construction loans and one third is what we call good news money or the future funding of new lease tenant improvements and leasing commissions on cash flowing properties. providing this good news money, generally de-risks your loan as the sponsor is executed on your underwritten business plan. By the end of this quarter, assuming no new construction loans are made, we expect to have managed our construction exposure as the percentage of lending segment assets down 32% versus the first quarter to just mid-to-low teens percent of lending segment assets. Of note, 30% of our construction loans are fully leased to investment grade tenants, Facebook, AmerisourceBergen and British telecom. We are happy during this unprecedented period to have been able to proactively reduce our future funding requirements so significantly and without selling any loans, securities, or other assets below par, nor did we need to raise expensive or dilutive capital. The two thirds of our loan book that have LIBOR floors above zero, have an average floor of 1.57%, approximately 140 basis points above LIBOR today, giving them a value of over $150 million today. these floors could be sold to create incremental cash should we ever choose to. Given our liquidity position, we were early and aggressive in deleveraging warehouse lines in exchange from margin call holidays on 94% of our hotels and a few other assets allowing us flexibility to modify the majority of our COVID effective hotel loans, which include new sponsor equity, ability to use reserves and as Rina mentioned, some short-term interest deferrals were appropriate. Our best-in-class sponsors have contributed over $150 million of fresh equity since COVID began and it projected to contribute another $150 million of fresh equity in the second half of 2020 for over $300 million of current and future equity contributions in total. Importantly, 20% of our hotel exposure is in extended stay hotels, which have significantly outperformed other hotel segments and averaged over 80% occupancy during COVID. finally in lending, we are pleased that Amazon signed a lease for 100% of our one million square foot Orlando Distribution Center, formerly leased by Winn-Dixie and is moving in equipment as we speak. we took an $8 million reserve when we foreclosed on the other former Winn-Dixie asset that we own in Montgomery, Alabama and if, since at least the entirety of that one million square feet facility to Dollar General. We are pleased that due to our leasing efforts within a year of taking over both empty properties, we went from taking a reserve to creating tens of millions in gains that we will realize in future quarters. moving to our resi non-QM business. since COVID began, we purchased or agreed to purchase approximately $700 million in loans, significantly below par. prices on these fixed rate loans have recovered to above par today and are projected to generate large taxable gains in our portfolio in the coming quarters. We priced our eighth securitization this week. Our second securitization, since COVID began. these transactions raised over $1 billion of non-recourse fixed rate financing and continue to show the resiliency of our star securitization platform’s access to financing, even in difficult markets for our target high FICO, low LTV assets. Our unsecured type whole loan balance is down to $700 million today versus $1.2 billion last quarter, and we expect that to fall to less than $300 million after our next securitization, which is planned in Q3. coming weeks, we will have executed three new bank warehouse lines with nearly two times the capacity of our existing FHLB borrowings with pricing and structural terms that give us significant capacity to continue to grow this business at attractive return profiles. Although we expect the pace of originations to slow in the second half of 2020, we believe our residential platform is well positioned to grow market share in the coming quarters. In our energy infrastructure business, fifth, we have told you that we invest away from the commodity wellhead and are therefore not highly correlated to commodity prices. like significant commodity price volatility and early COVID, as Rina said, our $1.85 billion loan book has had very strong credit performance, has not had any voluntary or involuntary due averaging to date and had 100% interest collections to date. Unlike our CRE loans, these loans don’t have embedded interest rate floors. So, lower LIBOR has reduced our interest income, but we see good opportunities on the horizon to invest accretively with attractive post-COVID spreads on new issue loan. in order to continue to invest, we continue to add to and extend our financing availability in the quarter and continue to look at CLO execution economics that will allow us to move more financing off balance sheet in the coming year. Rina talked about our REIT segment and I will add that in addition to repurposing employees, to help manage the onslaught of new special servicing opportunities that will create revenues for the next 10 years. We have also seen attractive yields on new BP’s investments today on very high-quality post-COVID origination. Finally, in our property book, after remarking our book [ph], we believe we still have over $700 million of gains, over 85% of those gains are in our very stable 15,000 units, Florida multifamily portfolio. With that, I will turn the call to Barry.
Barry Sternlicht: Thank you, Jeff. Thank you, Rina. Thank you, Andrew and thanks everyone for dialing in this morning. It’s hard to add a lot to what Rina and Jeff said. I think my quote in the earnings release reflects my view that we’re kind of at the Indianapolis Speedway and the pit car, I guess they call it is out and we’re lapping around the track and all of the mortgage rates, all of the lenders are sort of on the tracking, two of them had to pull into the pits and having the tires changed and getting new bodies, because they had a crash in this crisis and we’ve never experienced that. As you remember, you’ve seen we have significant cash recourses on this filing, never having any kind of issues with a recap necessary for the company. And as I look out for the years ahead, the really interesting company, which as Jeff said, we have all the gains in the investments we’ve made. And you’ll soon learn about another gain that will look to be opportunistic in a whole lot in the middle of the crisis, within new usual structure. Jeff referenced that securitization will take place this quarter. So, we have a funny company, which is resilient. But the diversification of the business lines is proven to be a significant advantage and I think also that some of our business lines are still not performing at the appropriate stabilized earnings power, specifically our energy infrastructure business, which has kept a significant overhead, what we pulled back from investing and that continues to decrease its contribution to earnings given the scale that we hope to be out at this time, but obviously, pauses the energy markets went into a free fall. But as I mentioned and Jeff mentioned, and Rina has mentioned that the book has held up extremely well with no margin calls and no deterioration in credit quality since in the entire period of the crisis. The other thing that’s not obvious to shareholders is, we don’t – given the strength of our balance sheet, we never had the panic and we held off selling loans and particularly securities. including the loans that we held in our conduit, as well as RMBS, we knew that they were mispriced in the crisis and they were good credits. And so being able to hold on to those and then sell them now, its gains are tiny losses, has been a great strength of the company, and we are cautiously going on offense, as Jeff said, and I’d say that we’re trying to cherry-pick opportunities around the world. We recently committed to a deal in Europe and we’re looking at deals in United States, but we do have to be careful. We’re obviously in this period for the vaccine, we all hope the vaccine is successful, we also hope that people use it. but we’re realistic that they may not actually all use it. And so some of the sectors of the property markets, which have been injured the most and the retail and hotels, we have to be very careful with. But again, I think if you told me 10 years ago, when we started the company in 2009, I guess it’s 11 years ago that we’d be running a book 11 years into the process with a 61% LTV. I would be astonished, frankly and the ability to continue to earn these kinds of returns in that position and the capital structure or even the quality of the RMBS securities we’re buying is truly something surprising, I suppose. it’s been helped obviously, but continued ease of available credit for our business, whether it’s a CLO or warehouse lines or say, which matched fund the maturity of our assets. And so we’re quite blessed, I assume that our scale and with a really super management team has done a great job, all hands on deck. Even if they’re remote, everybody has been pitching in as we work through situations with borrowers, and try to be creative and work through their issues that they’ve faced. It is an interesting time, but I’m really grateful for the enterprise that we’ve built into the team that’s been managing the company. just quickly on the asset classes, obviously, industrial has been fine. The housing markets are on fire. in some places, they’re up dramatically. Multifamily is holding its own with small deteriorations in some markets in the NOI. One of the things we’re looking at is real estate taxes as municipalities try to balance their budgets, silly pressure on real estate taxes and we have to watch out for that. the office markets are relatively stable. I recently was with CEO of one of the major tech firms and announced that their employees were working from home. And he said, well, not really, I mean, we just want people to know that have to come back to the office, but we prefer they come back to the office. So, the immediate kind of overdone that I think, and people like us. We opened our New York office. We opened our Greenwich office. We opened our Miami the office and we’re allowing people to come back to work and a lot of them are choosing to do so. And then the hotel markets, as Jeff mentioned extended stay is one thing, which we have a chain of extended stay hotels that we own our equity brokerage, which is running at 85% occupancy, which is up 200 basis points from pre-COVID. but also hotels like a hotel we own, or actually, we don’t know with the lender on – the first mortgage lender on, in Beverly Hills, where the owner has put in several $100 million of equity into an asset, and we’ve seen it around $200 million of debt and we never expected to walk away from that property. So, not also tell loans are created equal and that’s our job is to come through the debris and find the deals we really think are a great risk reward for our shareholders. Retail is asset by asset; as you know, we don’t have portfolio of net lease Cabela’s stores. they’re corporately guaranteed, because I was just benefiting from COVID, obviously gun sales are up and the credit quality is terrific. And I think we were on like a 13 cash-on-cash return on those assets. so that I’m going to stop, we’re going to take questions. I think, one thing we’re very much aware of is the coming maturity of our bonds in the next, but they can’t be prepaid, as Jeff said, until November. So there’s nothing we can do right now, except keep cash on hand if we have to do a small offering or find a different way to finance rollover. We can do the financing. It’s not a question of that. It will be a question of what the coupon is. So, we want to take the long road here, play long ball and not sell assets that we think we have huge gains and just to sell them and create gain. That’s why we’re holding onto our multifamily, but because whereas can we get 15% cash-on-cash yields that are increasing every quarter, frankly. So, we could sell them and though we would pay taxes, and we couldn’t replace the duration of the cash flows. So with that I’ll take – we’ll take questions. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Steven Laws with Raymond James. please proceed with your question.
Steven Laws: Hi, good morning. I guess first, it looks like you’ve made some new investments, obviously, CRE as well as the purchase of the non-agency loans that you covered that hasn’t closed. Curious on the Energy Infrastructure Lending, how do you feel about that portfolio and segment? I think a few weeks ago, you saw Hancock Whitney sell some energy loans. Was that something you guys looked at? Was there read-through on that sale that makes you more positive or less – or more negative on that asset class? Maybe talk about the outlook for the energy portfolio and any growth there.
Jeff DiModica: Hey, Steven. Great question. Thank you for recognizing new investments. And on the energy side. We were quiet this quarter. Spreads have certainly widened out. The banks have pulled back a bit. We think we can generate levered yields that are in excess of what we were generating before COVID. We actually approved the deal just a couple of weeks ago that we didn’t end up buying. We thought we could potentially buy a little bit cheaper secondary, and that didn’t quite work out. I have Sean Murdoch and Denise Tate on the line with me. And regarding your question on the portfolio and what they’re seeing specifically there, why don’t I turn it to Sean and Denise to quickly give you an update.
Sean Murdock: Sure. I think we’re seeing the markets in energy stabilize it sort of finds it putting after COVID and our portfolio of the tenant investment opportunities are growing. And as Jeff said, they’re attractive returns versus the returns we were generating pre-COVID. I’d add that Jeff mentioned, we’re working hard on doing a CLO, which we think sort of prunes out the business model in terms of generating term nonrecourse financing for our loan activities.
Denise Tait: Sorry, it’s Denise. Just to add on the Hancock deal, [indiscernible] those were all oil gas drilling deals and service deals. So we’re not investing in close to the wellhead, which is what those deals are. So they have a lot of commodity risk associated with those deals. So not really a good comp for our book.
Jeff DiModica: Okay, that’s helpful. And Steven, finally, we probably need 15 or so new investments to complete portfolio for the CLO that Sean and I have now both talked about. So, our goal over the next six to nine months will be to get to the point where we can accretively come with a CLO to move this debt off balance sheet.
Steven Laws: Great. And then Barry, a question on the election, if the date holds, your next conference call will take place the morning after the presidential election. And I guess depending on mail and votes in different states, we may or may not have an answer of who the next president is. Can you talk a little bit about – I know you got the new investments you’re doing. You’ve got a very strong balance sheet. You mentioned maybe raising some debt maturities later this year. Let’s go in November election as well. The risk, if Biden’s selected regarding the real estate taxes he’s proposed eliminating like kind exchange, how does that – the different things, I’m sure you’re aware of, how does that impact how you think about Starwood, the mortgage REIT? And then bigger just how you think about real estate investing in general, if that were to come to fruition?
Barry Sternlicht: I think we look at is rates,, and there’s no yield in the world. And underpinning real estate, there’s tremendous – rates are too wide. I think I was reading something where we mentioned Amazon lease credit will trade at a five cap rate and their bonds traded like 30 basis points or something like that. There’s a huge premium on real estate yields because people perceive I think weakness in the income streams, which is not only – you can’t really invest macro. You have to invest micro and you have to go block by block, and you look at the credit quality of the cash flow stream. So, I think – if you think that Biden’s election will decelerate the economy, whatever that means given, we have a minus 32% on GDP. I think there’ll be no issue. Rates will stay low. And I don’t think, like, for example, like-kind exchange is relevant to the kinds of assets we finance. I think it’s mostly used by individuals buying strip centers and franchise net lease assets. And again, because there’s no alternative, will they sell at seven caps instead of six caps because their tax the like-kind exchange I think should go away. It isn’t required. It isn’t helpful and it’s unique to real estate. So I – that’s an easy loophole for them to fill. I’ve never used it in my life, by the way. So I have never been affected. But I think other situations, other issues like municipalities, taxing, real estate, is a double-edged sword, reducing the volume or the value of buildings and cities, because they’re doubling property taxes means that capital won’t flow into those. It’s either buy – build a new building or to buy a building, if you think values are going down. So while it seems to be a popular thing to tax buildings, assuming that wealthy people own them, truth is obviously shareholders own them in the public market. I assume some of those are pension plans and individuals. And the truth is they’re not going to create – there are certain families that own buildings, but they are the minority of the U.S. property market. So it’s – and there’s certainly no wealth and tax [indiscernible] and talk to me later. So the real estate markets, I think, also – they’re not pricing in inflation. It’s interesting to me with gold [indiscernible], bitcoin rallying that hard assets haven’t really gone to bid globally. I think that will change. I think people will begin once you feel like there’s – I described this climate as walking in quicksand. And we think the ground is stable, but it shifts. We don’t know if there will be vaccine around the election. January, will it work? Will there be somebody that comes out with a vaccine that doesn’t work and people get pissed off, while Novartis and AstraZeneca produce their vaccines later, presumably will be more institutional, if you will. So it’s a choppy road, and we have to be careful. We’re here for the long haul. We’re not here to have a one quarter. I didn’t mention, I should have mentioned that I had in my notes, but you’re sitting on $800 million of cash you $600 million of excess cash is at 10% yield, which we’ve obviously done better in all our business lines and that is $60 million. It’s $0.20 a share in earnings. So, you can add $0.20 to our earnings for a normal period for us once we put the capital to work. But we can’t do that. However, we can cover the dividend because we have all these gains in our books. And so that – it’s kind of interesting time. It’s – scratch your head a little bit, but be careful. And I think the election, it’s not over yet. And I don’t think generically. I think the move to increase all taxes, corporate income taxes, capital gains tax as well as tax on the wealth fee. We’ll see it. It’s a complicated puzzle. Will they change depreciation schedules for real estate? I don’t know. Usually hard assets are held for long periods of time, and people like to use them as inflation hedges. I can’t – I really – I do think capital gains tax changes will mean people will hold assets longer. So, there’ll be less for sale, most likely, especially from taxable institutions or individuals, not necessarily pension plans. So, the long answer that I had no idea because I can argue both cases.
Operator: Thank you. Our next question comes from the line of Rick Shane with JPMorgan. Please proceed with your question.
Rick Shane: Hey, guys. Thanks for taking my questions this morning. Jeff, you had spoken about the purchase of the low loan-to-value resi portfolio and the possibility of securitizing that above par. How should we think of that from an economic contribution? And if you do the securitization, is that a gain that you recognize? Or would that discount continue to be accreted into income going forward?
Jeff DiModica: Yes. Thanks, Rick, good questions. These purchases, we were fortunate during COVID to be able to buy them. At a discount, as you just said, the securitizations today are above par. I think single Bs are trading in a yield that are about equivalent to the growth WACC, the coupon of the underlying pools. So, these are obviously very accretive when we can sell AAAs at 120 over or whatever that is. So the financing markets have come roaring back. And I think one of the reasons is there’s going to be a lot less supply in the coming months. The non-QM originators will be doing less volume. People have cleaned out most of the loans that they have. So, given there are a lot of bond buyers, who really like this sector and they like it because of the strong credit characteristics that we like it for. The reality is that securitization pricing should continue to be pretty strong going forward, and we’ll increase the whole loan bids to significantly above where we purchased them. As far as the gain goes, these gains are taxable. So we will have some tax issues. They are also – there are hedges in these. And given what rates have done, there’ll probably be some small hedge losses. But net of all of that, there should be very large gains that we will likely take along with the – at the time of the securitization. So, as we head into the next couple of securitizations, I think you’ll likely see some fairly large gains along with that, as opposed to just running it all through coupon. Rina, do you have anything different you would say there?
Rina Paniry: No. I would just say that it’s consistent with how we’ve treated the past securitizations in this business as well as our conduit Star mortgage capital. So we recognized the gain at securitization.
Rick Shane: Great, perfect. Thanks, guys.
Operator: Thank you. Our next question comes from the line of Tim Hayes with B. Riley FBR. Please proceed with your question.
Tim Hayes: Hey, good morning, guys. Hope you’re all doing well. My first question, just on the CRE pipeline. Can you maybe size that for us today? And just give us a little bit more color on the characteristics? It seems like you’re migrating towards higher quality, more stabilized assets. So are you seeing yields come in a bit there or spreads come in a bit there and LTVs move up? Or just curious, maybe, you can talk about the assets also that or asset types you’re focusing on?
Jeff DiModica: Yes. Sure, it’s Jeff. I’ll start, and I’m sure Barry might jump in and Dennis Schuh, our Head of Originations, is on the line. I would say, immediately post-COVID, the handful of opportunities that we saw were significantly wider. You’ve seen some spread tightening here as people are coming back into the market. There – a lot of our competitors are not looking to invest today. So, there is a little bit better opportunity set for us to get into some things that we couldn’t necessarily get to our rates of return on pre-COVID. I think we’re seeing a decent amount of multifamily that we really like. We’re seeing industrial that we really like. We’re seeing sectors that we want to be in with the ability to potentially sell A-notes or use them as CLO collateral as opposed to continuing to add to warehouse lines, which, as you know, are less than half of our financing of our [indiscernible] book and the lowest, I think, among our peers. So we will continue to sort of look to keep less – to bring on assets with less future fundings. I think given the uncertainty around repayments, we’ve pushed out – cautiously, we pushed out repayment significantly into the future. Right now, we would like to have less future funding and more future funding obligations until we have a little bit more clarity about how we get repaid. So I think you’ll see us stick to our meeting with some fairly conservative product types and probably not doing much, if anything, in retail, which we haven’t done in the last few years or other sectors that could be considered a little bit more volatile. Barry, do you have any thoughts or Dennis, that are different?
Barry Sternlicht: Well, the only thing I’ll say is our loans are chunky, right? I mean, we want to do – we’re doing bigger loans, obviously, than maybe some of our smaller peers. And there’s patients in the deck. We invest $200 million in the back half of the year, it’s like $0.04 to $0.05 in earnings. It’s not going to make or break our year. So we – or we – if we can get a 15 on capital is to put out a third less to get to [indiscernible] we’re running our model on even though loans are doing better than that. And the energy book is well north of the returns we can get in real estate right now. So the one problem that I see for lenders is the volume of deals. Until sort of the dam breaks here where people really run out of the extensions and collaboration that banks are doing, they don’t really have to sell, and they don’t want to sell. Nobody wants to sell premium of COVID. So transaction volumes globally are down. I mean financing opportunities are down. And yet, I think people perceive that there will be light at the end of the tunnel. So as Jeff mentioned, the spreads have come in. There have been a few, I call them, [indiscernible] financing for a few of our peers. And even though their spreads have come in, they’re being bid heavily dramatically. It’s interesting because, obviously, we did one of them. And there’s [indiscernible] now. If you see where the pricing is – you’re seeing a lot of hedge fund or just if [indiscernible] market. They’re – I would call it [indiscernible] and a little less and so done this for so long, but sometimes we’ve seen these assets trade three times [indiscernible] my 30 years or [indiscernible]. So I mean, I feel like we know these assets and some of these new to the business wouldn’t have a perspective and why that asset, even though it looks like is in good locations never worked. So – and we just try to avoid land lines. And there are opportunities. Construction itself is going to drop dramatically. It’s already dropping. I think multis will be down 100,000 units from peak and I don’t see a lot of people starting anything spec in office. Hotels will finish their construction pipeline. That’s actually too large. And then I think you’ll see a tremendous reduction in supply. I think the two areas where demand isn’t going to return to the levels it was anytime pre-COVID will be hotels and retail. Those are the two asset classes that – it’s troughed that you could get extraordinary deals, extraordinary spreads in those asset classes, but you’re going to have to predict the future that it’s not going to look like 2019, not for a while. I mean there’s no question business travel will be injured for some period of time until air traffic’s restored and the international travel comes back. So it’s – their underwriting is going to be different than the underwriting we had before. And we’re competitive as heck. So we would – there’s isn’t a deal like don’t go buy through the shop [indiscernible]. We see that. What do we think? I think Jeff and Dennis can support that, but there’s a lot of several pass on right now, just a risk reward like why take the risk. And we do – we can survive, just that we have a really strong – we will probably survive as well as anyone can in this space. Having said that, if this COVID went on four years, that’s going to be tough. So I think it’s tough for the equity markets, too, by the way.
Sean Murdock: I personally would [indiscernible] a lot of Barry of Barry subscriptions to all the new services that show them every deal that gets done because we do get a question on all of them. To finish that up, I would say, our pipeline today is about two pages long, almost two full pages, which is almost similar to where we were pre-COVID. It started to be very small. We have eight loans or so in the red zone that would use a decent chunk of our budget at returns that are above what we’ve seen. And I would say also, when the Street originates a loan and they try to sell the mezzanine, something that we do very little of. We’ve seen two deals that we actually liked the credit on, but they thought they could sell them mezzanine 300 basis points or so inside of where we would bid, which is why we like to create our own cooking and underwrite – originate our own loans and then sell off our seniors ourselves. The bid from hedge funds and others who don’t have the origination capability is back and it’s voracious, and it’s causing those mezzanines that are originated by the Street to trade multiple hundreds of basis points inside of where we would begin to care. Sorry, for the long answer.
Barry Sternlicht: Jeff.
Jeff DiModica: I’d say generically returns are up about 200 basis points versus pre-COVID levels. And I’d say generically leverage on the asset classes that we want to be lending them are probably down about five points on average, that’s just generic. But as Barry said, it’s deal by deal, asset by asset, street by street.
Tim Hayes: Yes. I mean, I appreciate the detailed response there. That was a lot of good information. So, I appreciate that. And then just on the margin call holidays, you haven’t placed on the hotel loan portfolio. Can you just remind me when those were put in place in the duration of those agreements? And just curious, if you – if it’s too early to begin having conversations about extending those and what it would take, whether it’s just additional de-leveraging or other kinds of give ups that would be needed to if you want it to extend those agreements?
Jeff DiModica: Yes. Thanks for the question. I would say in general, they expire around year-end this year. We’re certainly hoping that hotels start to see a little bit better performance come year-end. In general, the de-leveraging was somewhere in the 10% area. My guess is if year-end comes and things are still not great that you potentially have another small de-leveraging, but a fraction of the 10% that we paid down previously, which was only a $100 million in total across those. So, not a huge liquidity scare for us, but, sort of hoping that the hotel numbers come back a little bit into Q4 and that we’re able to hold the line. The bank lines generically, if we’re writing a 65 LTV loan or something like that, the banks are lending to us at 45 LTV on these assets. So, if we’ve already paid them down by 10%, at some point it becomes a sort of ridiculously low leverage level from the seniors. So the next round will be very small is my hope.
Tim Hayes: Got it. Okay. And then just my last one here, circling back on the dividend, I know it sounds like investment activity should pick up a little bit on your guys end in the second half in a year. A lot of good opportunities for capital work, but also sounds like you’re elevating cash levels aren’t going anywhere. So, just wanted to circle back and see how, I know it’s a board decision, but how you’re thinking about continuing to under earn the dividend for the foreseeable future, just knowing that you could earn it if you wanted, but that might not be in a near term pipeline?
Barry Sternlicht: Can we say no comment. The – again, it’s – I’m a big shareholder myself. I’d love to maintain the dividend. And the market doesn’t think we’re going to maintain the dividends. I think the Street has us paying $1.60, I’m told. So – and the stock trades at a ridiculous yield. So given what’s going on in the discount to our peers. So it’s really – and there’s plenty of competitors that actually aren’t paying any dividend and their stocks are holding up. So we don’t – we’re going to just look at it month by month. And at the moment, we’ve obviously held a dividend. And – but I think my comments would intrigue you as we can’t cover the dividend. We just want the world to be normal and we [indiscernible] it can get to normal some time soon. So, I think we’ll leave it at that.
Operator: Thank you. Our next question comes from line of George Bahamondes with Deutsche Bank. Please proceed with your question.
George Bahamondes: Hi, good morning. You cited roughly a 11 loans modified during the quarter. Imagine that the majority of the loans were hotel or retail. When I wanted to confirm if that was accurate and secondly, if maybe there were some other ones that were not hotel retail, I’m just kind of giving some more context around the mix there.
Jeff DiModica: Yes. The vast majority was hotel as you suppose that that’s absolutely correct. The others are some very small – some very small, mostly technical modifications that have been done to date, but the majority of the mods have been on hotel book.
George Bahamondes: Great. And my second question this detail you’ve talked about good news money for unfunded commitments. Can you just revisit those comments on how much of the $2 billion is callable? Or maybe it’s going to be dependent on some sort of performance milestone?
Jeff DiModica: How much of the $2 billion is callable? I’m not sure I understand exactly if you can…
George Bahamondes: Even like good news. Right. So it’s going to be dependent on some sort of lease-up back to the basin, right? Or just kind of any sort of performance milestone, just wondering, how much of the $2 billion is maybe tied to that?
Jeff DiModica: Yes, I said in my comments, I believe about a third of it typically is good news money. And about two thirds is future draws on construction. So, and the $2 billion is gross. I would assume that none of our banks fund alongside of us, and we always assume that our banks will fund alongside of us and leaves us less than a $1 billion of net future fundings from us. So using that same math, $333 million [ph], if it were exactly a $1 billion of good news money and in $666 million [ph] or so of construction drawers coming out over the next three and a half years, extremely manageable numbers given the size of our book and in the amount that we expect to come back into the book on repayments.
Operator: Thank you. Our next question comes from the line of Don Fandetti with Wells Fargo. Please proceed with your question.
Don Fandetti: Yes, Barry, there’s some bearish views on New York office. You had commented a little bit about the tech CEO that you spoke to, maybe implying it was somewhat overdone. Can you provide your thoughts on New York office and kind of where you [Technical Difficulty].
Barry Sternlicht: Yes. I do think the big blue cities are facing some troubles and the pressures on real estate taxes on office properties will be tremendous because they’re big, you can still tax them. You can’t tax street-level retail and hotels are closed. So it’s going to – I think it’s not even so much of rent fall so much as expenses going up. Rent have to go up to meet the increase in expenses for a while, as you know, the way leases are structured, the tenants will pay those increases. But when the lease rolls, it will be – and sometimes, the lease is written so that the landlord has to increase the [indiscernible] taxes. I think you’re seeing interesting issues emerge in some office markets, mainly San Francisco and New York. San Francisco, nearly 10% of the space in Downtown is now up for sub led. So I think you’re going to see a significant decrease in the rents in San Francisco. At – being the heart of tech land and the fact that the downtown San Francisco is less clean and a bit – has issues right now, I think people are thinking they can go somewhere else and work in the suburbs. And so the CBD has some issues. I think in New York City – it’s funny. I think I got a lot of criticism for saying values would be down New York, the values will be down in New York. They’re already down in New York. And – but I do think people want to work from their offices. And what I was really referring to wasn’t actually COVID or even protests, some of which turned into riots. I think there’s a general perception that the cities aren’t safe. And nothing will clean out the downtown faster than a return to mayhem in urban markets. And whether it’s downtown Atlanta or downtown Washington or downtown New York or Chicago. I think the city mayors are going to have to pay attention to the one thing about safety. And safety, you can’t price into real estate. So it’s really important that these cities get control of the safety issues, and aren’t safe, they’re going to move. And across the country, this flight to suburbia is taking place, which is kind of fascinating. It’s not exactly what you might expect. I think [indiscernible] New York is not going to disappear. All we’re doing is talking about on the margin and will there be pressure on rents, up or down. And in the middle of COVID, as I pointed out, Facebook and already [ph] just announced, it took a 730,000 square foot lease in the [indiscernible] building. So – and I’m aware of Facebook space in building in Portugal and another 400,000 square foot deal was just signed in Boston. So deals are getting signed. It’s pretty hard to sign a lease when we can’t visit the property. And most CEOs are sort of taking a time now and trying to figure out what the future looks like. Tax mall tech firms, they were always distributed in the way they land these companies. So a program that can sit in the cave in Alaska and do its work. Most companies don’t look like that. And I think as I talk to that tech CEO I asked about loyalty, and how do you build the corporate culture and then how do you deal with people don’t have WiFi at home and other – who don’t have the kind of connectivity that wealthier people have. So it is, as [indiscernible] said recently, it’s a little discriminatory to force everyone to work from home. So – and obviously, service industries, you can’t do that anyway. So I don’t think – I think New York’s in trouble. I’m not going to blame it on the administration of the city right now and the city council, much more than – hardly resilient and tough. And – but I think safety means people don’t want to go back to the open markets. And that’s something that the city is – the chapter’s not written yet on. I think other cities will benefit from this. And whether it’s Nashville or Austin, Texas or Dallas, Houston, the Florida Capital, Tampa, Orlando, Miami, Jacksonville, Georgia. There are places benefiting from this kind of cloud coming over these larger cities. Boston’s probably fine, otherwise, but there are issues in other cities. And it will affect property values, and that’s something we could watch out for.
Jeff DiModica: And Don, I will say and Barry has pushed us this way for a long time, but less than 3% of our loan portfolio is Manhattan office. That’s three loans. Two of them are small and we expect to be in one is on a diversified portfolio, including a large investment grade tenant taking the bulk of it. We feel really good about those three loans, but again, very small percentage of our portfolio in Manhattan office.
Operator: Thank you. Ladies and gentlemen our last question for today will come from the line of Jade Rahmani with KBW. Please proceed with your question.
Jade Rahmani: Thank you very much. I get a lot of questions on Starwood, New York city exposure. And I was wondering if you could quantify that and also provide some commentary as to the few specific loans that are in the New York market and how they might be positioned in terms of future credit performance?
Jeff DiModica: Great, Jade, thanks for the question. In total, including all New York City area our exposure is about 14% of the loan book today. About 37% of that is office. There are condos in there and these condos have significantly low basis. You and I have talked about a few of them in the past, and we feel that we feel very good about the condos. I would, as I look at across our portfolio, we do have the one condo that we have spoken about before that we have taken a reserve on so away from that, the rest of it, that condo book feels pretty good. We still have a recourse guarantee on that. And it is still in the process of selling units that we believe will be done in the next 12 months to 15 months with that loan, again, with full recourse.
Barry Sternlicht: And I’m just interrupting you, can you reconcile the 3%? You said it was in New York and your first comment, last question, the 14% you said it was in New York on [indiscernible] in you answer to Jade’s question.
Jeff DiModica: Absolutely. So we’re about 5% of our book in total, is office 60% or 3% of that, or so is in Manhattan. And the rest is in as I look here at Brooklyn and Long Island. So about 5% of our portfolio is office out of, and then 14% of our portfolio includes all New York City office condo hotel and multifamily, Barry. Our one hotel loan is only $36 million…
Barry Sternlicht: In the north of $17 billion and our loan book is $9.4. You said you got in mind too.
Jade Rahmani: Great. Thanks for taking the questions. And then just in terms of the overall loan portfolio given the recent A-note sales, what percentage of the loan portfolio is being out at this point?
Jeff DiModica: I don’t have that exact number. I want to make sure we can give you an exact number. I think we’re about 45% today on bank lines. And we obviously have the large CLO and the rest would effectively B-notes noticed, but I don’t have it on the tip of my tongue Rina, unless you have a Jade, we can come back to you with the exact number for percentage B-note.
Rina Paniry: I do not. I will come back to you.
Barry Sternlicht: I just point out again that you have a warehouse line on this FHLB line, but we have different set of lines on the energy books, not just talking about real estate anymore or real estate.
Andrew Sossen: Jade it’s Andrew, out of the around $9.4 billion in a commercial lending book. There’s about $600 million and about, you know, $150 million, $160 million preferred equity. So call around $750 million out of $9.4 billion. And that’s carrying value of the assets.
Jeff DiModica: Andrew, I think he’s also considering things where we sold A note. So I think we should get back to him with the exact number includes that.
Jade Rahmani: Thank you very much. I’ll follow up on that later.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I’ll turn the floor back to Mr. Sternlicht for any final comments.
Barry Sternlicht: Thank you, operator, and thanks for your questions and for joining us today. The one thing I’d say is, I’m very proud of the fact that we’ve won this award for seven years in a row. And [indiscernible] And so we’re available to answer your questions without and always to going to do so. So without things consider proprietary, we want you to understand, what we’re doing list in the book and we appreciate you spending the time with us and supporting us. Thanks. Have a great holiday. Take care.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this. Thank you for your participation.